Operator: Good day everyone and welcome to the Copart Incorporated Fourth Quarter Fiscal 2016 Earnings Call. Just a reminder, today's conference is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Jay Adair, Chief Executive Officer of Copart Incorporated. Please go ahead, sir.
Jayson Adair: Thank you, Samantha. Good morning, everyone and welcome to the earnings call for the fourth quarter for Copart. With me in the room today is Jeff Liaw, our CFO; and Will Franklin, our Executive Vice President. I am going to turn it over to Jeff and he will give an update on the financials, and then we will give you an update on the company and then we'll be happy to open it up for questions. With that, Jeff?
Jeffrey Liaw: Thanks Jay. Good morning everyone. I will start with the Safe Harbor. Our remarks today will contain forward-looking statements within the meaning of federal securities laws including without limitations, statements concerning management assumptions of factors affecting anticipated growth in our markets and in the number of cars we expect to process. These assumptions include factors such as trends in accident frequency and severity, driver behavior, and repair costs. These statements are neither promises nor guarantees and are subject to substantial risks and uncertainties that could cause actual results to differ materially from those projected or implied by our statements and comments. For a discussion of the risks that could adversely affect the assumptions and trends we identify today, or that otherwise affect our business generally, please review the risk factors contained in our quarterly report on Form 10-Q for the quarter ended April 30, 2016. Additional information will also be contained in our upcoming annual report on Form 10-K and in other SEC filings. Copart expressly disclaims any obligation to update or revise these statements or comments. A brief note as well on non-GAAP financial measures. Included in today's discussion are certain non-GAAP financial measures, including non-GAAP net income per diluted share, which reflect the impact of changes in foreign currency exchange rates, and certain tax benefits and foreign income tax credit limitations, related to accounting for stock option exercises. These non-GAAP financial measures do not represent alternative financial measures under GAAP. In addition, these non-GAAP financial measures may be different from non-GAAP financial measures used by other companies. Furthermore, these non-GAAP financial measures do not reflect the comprehensive view of Copart's operations in accordance with GAAP and should only be read in conjunction with the corresponding GAAP financial measures. This information constitutes non-GAAP financial measures within the meaning of Regulation G adopted by the U.S. Securities and Exchange Commission. Accordingly, Copart has presented herein, and will present in other information it publishes that contains these non-GAAP financial measures, a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures. W believe the presentation of non-GAAP net income per diluted share included in this discussion in conjunction with the corresponding GAAP financial measures provides meaningful information for investors, analysts and management in assessing Copart's business trends and financial performance. And now for our financial results. We are pleased with the results for our quarter and for the full year. I’ll comment briefly on income statement trends for the quarter and for the full year and then share a few observations regarding our balance sheet and cash flow statement as well. As those who have followed us for some time know, we do not typically provide non-GAAP measures, so this quarter's and this year's presentations of non-GAAP net income and non-GAAP EPS reflect unusual events this quarter and this year that were substantive enough to warrant this sort of communication. For the best representative snapshot of our business, I would recommend focusing on revenue, gross profit, and operating income measures though I will also walk you through the reconciliations as well. For the fourth quarter we experienced global revenue growth of 17.8% that includes a detrimental currency effect of approximately 1.8% of revenue or $6 million largely due to the weakening of the British pound, most acutely following Brexit on June 23. We experienced global unit sales growth of 13.8%. This unit growth we will elaborate upon further, largely driven by the same trends we talked about in the past, including elevated driving activity, accident rates, and total loss frequency. We observed service revenue growth of 18.8%, outpacing purchased car revenue growth of 11.8% largely due to our proactive shift from principal to agency cars, particularly for non-insurance business. Gross profit growth exceeded revenue growth. We grew from $118.8 million in the fourth quarter of 2015 to $141.5 million in the fourth quarter of 2016 which includes slight gross margin rate expansion. A few notes, just industry observations. Year-over-year scrap rates were now up 29% for the fourth quarter. For the full year, I’ll share the information in a few moments as well, scrap was down for the full year. Year-over-year used car values were plus or minus flat as well. Moving along down the income statement for the quarter, G&A expenditures increased by $2 million, ex-D&A up approximately $3 million including D&A as we placed more software assets into service from development and began depreciating them. As we have noted on prior calls, G&A will continue to grow on an absolute dollar basis going forward, though with reasonable top line growth rates we should expect to achieve operating leverage. EBIT growth of 22.4%, yet again leveraged relative to the gross profit growth as well as revenue growth. Our interest expense for the quarter was elevated somewhat by upfront expenses incurred in connection with the recapitalization of our debt financing, which I'll describe in greater detail as well. GAAP net income then for the quarter was $84.1 million compared to $57.4 million a year ago. Now a few comments on our non-GAAP adjusted net income and EPS. We experienced two distinct currency-related changes this quarter and this year that we've excluded from our non-GAAP net income. First, for the fourth quarter, an approximate post-tax effect of $4.8 million of booked gains on our currency balances. So we maintained cash balances outside the U.S. to the extent the U.S. dollar appreciates relative to the functional currencies in our non-U.S. operations will realize gains. We also experienced approximately $1.3 million of after-tax losses due largely to the weakening of the British pound following the Brexit event. Taxes for the quarter, you'll note, were meaningfully lower than our sustained run rate due primarily to our implementation of FASB ASU 2016-09 which is mandatory for all companies for fiscal years beginning after December 15 of this year. This accounting standard affects how companies account for the tax benefit of options exercises. In this case, our reduced tax expense was partially offset by the losses of certain foreign tax credits, again in connection with executive stock option exercises. We have effectively normalized so to speak our earnings for the quarter and for the year for these handful of events, including the currency changes as well as the tax accounting for stock option exercises. Our medium-term tax view has not changed. Excluding distortions from stock options exercises of this sort which are of course episodic in nature and therefore unpredictable, we do expect sustained tax rates consistent with our historical rates. Excluding these factors then we observed net income growth of approximately 17% year-over-year and EPS growth of over 30%, benefiting of course from stock repurchases completed this year and last year. I'll ask you to note that for the uniformity of presentation we also adjusted the prior year results and prior quarter results so the comparable numbers are equivalent. A few comments on the full year, systematically similar to the fourth quarter. Global revenue growth of 10.7%, detrimental currency effect of 1.5%, unit sales growth of 11.9%, again the same underlying growth factors that we talked about for the fourth quarter. Service revenue growth of 12.1% again outpaced purchased car revenue growth of 2.1% due to a shift from principal cars to agency. Gross profit growth slightly in excess of revenue, up 12.7% for the full year year-over-year, EBIT growth of 18%. GAAP net income growth went up 23% to $270.4 million and then on an adjusted net income basis again adjusting for those same events that I described a moment ago for the quarter, we experienced net income growth of 15% for the full year and EPS growth of 25% for the full year. Shifting gears to the balance sheet and cash flow statement. We issued an 8-K in July to announce the results of our recent amendments to our credit agreement. We increased the total available liquidity to Copart by raising an $850 million revolver effectively replacing our term loan and existing revolver with a larger old revolving credit facility. Given the somewhat seasonal nature of our cash flow, the old revolver structure enabled us to minimize interest expense without compromising liquidity we can effectively pay down debt as we generate cash while knowing we still have access to it to fund growth and other seasonal needs. A few cash flow highlights. Our operating cash flow for the year of $332.5 million included substantial growth in our accounts receivable. Those who have followed Copart for some time know that these accounts receivables are largely advanced charges that we pay on behalf of our sellers for which we're ultimately reimbursed and therefore accounts receivables growth generally reflects inventory growth, inventory not in the GAAP sense but literally in the number of cars we maintain in our yards. We also experienced growth in our accounts payable and other accrued liabilities largely in the fourth quarter, due largely to tax withholdings for stock option exercises approximately $15 million, as well as a re-class of book overdrafts from cash. We're optimizing our cash position again with the benefit of the revolving credit facility, we seek to pay down debt when we can and therefore have book overdrafts in AP. Two final notes, CapEx of $30 million for the quarter and $173 million for the full year of that full year number of $173 million approximately 75% was for land lease buyouts and development, so in some sense capacity or land acquisition. We've talked previously about the 20/20/20 program we will elaborate in greater detail. The last note on share buybacks for the year, we purchased $11.3 million shares over the course of the full fiscal year at a weighted average price of $39.29 including the fourth quarter of last year we repurchased $17.8 million shares at an average price of $38.09. With that I'll turn it over to Will.
William Franklin: Thank you, Jeff. I'll just reiterate what Jeff and Jay have already said. We're very pleased with the results for this quarter. The 17.8% growth in consolidated revenue came primarily from increased volumes as worldwide volume grew by 13.8%. I’ll start with a few comments on the U.S. operations where volume increased 14% on a year-over-year basis. The increase in volume has come from growth and the size and our share of the salvage market, as well as growth in our non-insurance volume. As we’ve discussed on previous calls, we are seeing growth on overall size of the North America salvage market. The growth in this market can be estimated by the product of three factors. The increase in the cars on the road or park, the growth in accident frequency or how often those cars involve in accidents, and the growth of the total loss frequency how often those cars involved in accidents are deemed to total economic loss. The mass yields and estimated growth in total cars for 2014, 2015 are between 7% and 9% and suggest using the current rate of growth in park and accident frequency and actual midyear growth rate for total loss frequency, a similar growth in 2016. While we expect the growth in park to remain in the 1.5% to 2% range, we do not see the drivers of the growth in accident frequency and total loss frequency abating. According to Independent Statistical Services or ISS, accident frequency increased 1.22% in 2015 and 0.85% for the first quarter of 2016. The increase in accident frequency is tied to the increase in miles driven, the increase in the rate of speed driven, higher levels of driver distraction and less safe drivers entering the driving population. The growth in miles driven of 3.1% is due primarily to lower fuel prices and higher employment trends. We're also seeing an increase in the rate of speed driven, as more of incremental miles are driven on rural roads and freeways and because speed limits in states are trending upwards. In 2015, five states passed legislation allowing for higher speed limits and similar legislation is pending in six other states. Driver distractions may also be contributing to the increase in accident frequency. A recent survey conducted by AAA Foundation for Traffic Safety over 42% of respondents have bided to reading emails or text and 31% indicated that they had actually typed text while driving during the last 30 days. Finally a recent study done by Brookings Senior Fellow, Clifford Winston suggests lower unemployment not only leads to more miles driven, it leads to riskier drivers on the road. While accident frequency is up, the greatest impact on the growth in total cars has come from growth and the total loss frequency driven by increase in repair costs relative to used vehicle values and option recoveries. The total loss decision is primarily an economic one, the cars totaled through repair cost exceeds, the net between the pre-accident values of the vehicle less the anticipated recovery at auction. Repair costs continue to grow primarily due to consolidation in the collision repair industry more severe accidents, greater complexity of newer cars and longer average replacement car rental times. According to CCC Information Services, since the year 2000, the percentage of volume processed by MSOs or multi-shop operations has more than tripled and now stands at almost 36%. And perhaps more interesting since 2010 the percentage of volume processed by dealerships has doubled now standing at 4%, suggesting a trend of increase in dealer collision repairs due to the complexity of restoring newer cars. Accident severity also appears to be increasing due to the higher rates of speed traveled and evidenced by the disproportional increase in traffic fatalities of 8% to the increase in miles driven of 3.1% and by the disproportionate increase in claim losses paid of 9.9% to the increased accident frequency. Cars are becoming more complex as they incorporate exotic and lightweight materials, inter-fit construction processes, sensors, cameras and other electronics, all of which demand that shops employ new equipment, tools and training, as well as acquiring more replacement parts per repair. According to CCC Information Services today's electronics are estimated to make up as much as 40% to 50% of the total cost of a vehicle. As a reference, the 2014 Mercedes S has seven cameras and 16 sensors, a trend we see as that being the middle level cars in the future. For most of these parts non-OEM alternatives are not available. Finally total loss frequency is impacted by the increasing length of time policy holders must be without their cars during the repair process, whether as a result of longer repair time or longer queue time letting to get into the collision repair shop. This increase not only elevates the total cost to repair the cars but also leads to dissatisfied policy holder. These factors have led to recent increases of total loss frequency in 2014, 2015 and 2016 of 1.2, 5.6 and 6.8% respectively. It should be noted that the growth in these years came in an environment when used car pricing remained relatively stable. During this period the Manheim Used Car Index rarely fluctuated more than 2% on year-over-year basis. With the expected growth in supply of used cars due to increased off lease volume, we expect used car pricing to trend downward putting additional upward pressure on total loss frequency. In addition to the growth in the size of the overall salvage market in the U.S. we saw a growth in our market share. And finally we saw growth in volume from our non-insurance suppliers of 14.5% and now represents 18.2% of our total volume. At the end of the quarter our U.S. inventory was up 20%, of which approximately 2.5% was attributable to CAT activity. In our second quarter we announced an initiative to add 20 new yards to our North America network. However, based on our revised expectations for volume growth, we’ve expanded our objective for land acquisitions. Further we understand one of the key values we provide to our insurance customers is the ability to mitigate the risks of dissatisfied policy holders and of operational disruption during catastrophe. To provide that value we maintain excess capacity in both land and equipment. Our operations and our property acquisition teams performed remarkably in the recent series of CAT events in Louisiana, Texas and Colorado. Nevertheless we’re increasing our excess land and equipment capacity in these and other high risk areas. Now I’ll turn to the U.K. in which we also saw growth in units sold increasing by 12.6%. In the U.K. insurance volume grew due to increases in both size and share of the insurance salvage market. Further almost a third of the total volume growth came from non-insurance sellers. Non-insurance volume grew by 24.9% and now represents almost 17% of the total volume. At the end of the quarter our U.K. inventory was up over 20%. On a consolidated basis we experienced an increase in the average cost to process each car due to operating and environments of general growth, and the extra expense associated with operating in CAT environments and also due to the growth in inventory. We remain focused on controlling G&A expenses. G&A spend for the current quarter of $31 million was up on a year-over-year basis primarily due to increased spend on support for international operations and for brand and IT development. For the full fiscal year our G&A spend was below the spends for 2015 and 2014 by 3 and 16% respectively. The stronger dollar on a year-over-year basis had a negative impact on consolidated revenue and EBIT of $6.1 million and $1.6 million respectively. While we grew our consolidated revenue by 17.8%, we grew our gross margin and our operating margin by 19.1% and 22.4% respectively, once again demonstrating the operational leverage inherent in our business model. That concludes my comments. Samantha now we'll turn the call back over to you to coordinate the Q&A session.
Operator: [Operator Instructions] Our first question will come from Bob Labick with CJS Securities.
Lee Jagoda: This is actually Lee Jagoda for Bob Labick. Good morning. So just want to start on Germany, can you discuss the difference between having the demo auctions and now the live auctions and what the opportunity is there and whether the insurance customers are the same as you have in the U.K, or are they new customers for you.
Jayson Adair: Well, first we really won’t address the international operations outside of the U.K that they're not meaningful to our financial results, but we will talk about our increased confidence in our international strategy and our view of the opportunity in Germany as well as all of Western Europe. So, it's important to understand that Europe operates on a different model in terms of the total loss settlement process. In Mainland Europe, the insurance company simply gives the policy holder a check for the diminished value of their car, and then it's up to the policy holder to dispose of that car. We think that the Copart model provides value not only to the policy holder because obviously under the Copart model, they're getting a full reimbursement for that car upfront providing them the ability to go and replace that car immediately as opposed to waiting until they ultimately dispose of a wrecked asset. We also think it provides value to the other constituents of this transaction including the buyer. So in the German model, a buyer will submit a bid for a wrecked car and then wait as long as 21 days before he knows if he will receive that car. And in fact statistics show that ultimately the buyer gets that car less than 10% of time. So it's important to know that these buyers are buying raw material for their business, they take these to increase value and they need access to these cars at a specific time and a car of a specific type. And so for them to wait 21 days means that they're willing to bid less for those cars because of the uncertainty. So in this model, they’re actually bidding less for the cars, which means the insurance companies are paying too much in their settlement because the recoveries are less than what they would be under the efficient model that Copart provides. So we're very comfortable that we can come into this market and provide value. In fact we think that the insurance companies that adopt us have an opportunity to be somewhat disruptive in that market. We've done three test auctions, and in all three of those test auctions, the returns that we achieved were substantially greater than the returns achieved under the current model of disposing of those cars. I'm not sure if that answered all your questions, Lee, but I think that gives kind of a good overview of that market and our view of how we will affect it.
Lee Jagoda: That was very helpful, thank you. And one more from me, and I'll hop back in the queue. You mentioned several Greenfield openings, and it sounds like you're going to be expanding those Greenfields overtime. Can you just discuss a little bit about the upfront costs and how long it typically takes for you to get more normalized margins at those Greenfields?
Jayson Adair: Yes, first off - everyone is different. So we can open up some Greenfields and we will have volume immediately, and obviously in that situation, the upfront detriment to our margins is much shorter. I would say it was typically about a year before they are up and fully operational and functional, in general.
Lee Jagoda: Great. Thank you very much.
Operator: Thank you. And our next question will come from John Healy with Northcoast Research.
John Healy: Thank you. Jay, I just wanted to talk a little bit about the commentary you guys provided about kind of total loss. That was helpful how you talked about the cars on the road, the frequency and just the total loss relationship. But is there a way you could kind of size for us your conversations you might have with some of the consulting companies or the insurance companies about ultimately where they think total loss can go to as a percentage of accidents, and over the last 10 or 15 year it's been an expanding number but kind of ultimately maybe over the next five years or so, where do you think that can go as a percentage of accidents?
Jayson Adair: I just talked about all the elements that influence that number and so you'd have kind of come to your own decision about how those will be affected by the introduction of new technologies and new laws. We don’t think that in the short term I am referencing probably three or four, five years that anything is going to change with the current trends.
Jeffrey Liaw: And I might add to that. Some insurance companies run as high as 20% in total loss and the average for the industry today quoted by CCC is 17…
Jayson Adair: About 19.
Jeffrey Liaw: 19, right now, okay. So in average of 19%, some are as high as 20% and yes the shift 25 years ago was closer to 10%. So it continued to - we used to give the analogy of the throwaway television. You had TV repairmen 50 years ago, and now that's pretty rare. So it’s the same thing with vehicle. As the complexity of vehicles increases, it makes them much more likely to total loss.
Unidentified Company Representative: Hi John, this is [indiscernible], I'd just add this color. I’d say that for the past 10 years I think a big contributor to salvage frequency has been the increasing age of the fleet so as cars went aged from 7.5 to 11.5 years that I think is a good part of the story for these salvage increase you heard Will and Jay talk about historically. Prospectively from here I think the age will likely stabilize, I think most of the projections I’ve seen indicate that to be true but these other forces I think will increasingly contribute. So vehicle complexity, rear cameras, side view blind spot these extra systems and so forth those have really penetrated vehicles are starting to penetrate vehicles now. I think the severity part of the equation is likely a forward-looking phenomenon as much as it is backwards.
John Healy: Sure [indiscernible]. I guess the last question, I was trying to hoping that maybe try to get a little more of a forecast so. You talked about some of the insurance companies are 20% now, I mean is there a way of thinking where you think that number had the feeling to go to or potentially kind of the ultimate end game there?
Unidentified Company Representative: I don't think we’re in a better position to give you a point forecast than you are to develop your own. The contributors to these are many fold as you know, right, used car values, repair cost, repair time, body shop utilization. There are just too many contributing factors to give you a point estimate. We do believe the trend is generally favorable.
John Healy: Got you. And then I want to ask about the purchase car business, I know it has a tendency to jump around a little bit. With the scrap values kind of maybe picking up a little bit and maybe you’re having some freed up capacity as you’ve put some of the yards on. Is it reasonable to think that you’ll be more active on purchase car in fiscal '17 than '16, or is there any kind of parameters you can put around that?
Jayson Adair: No, I don’t think the activity is going to change in a meaningful manner. It’s just not a big enough part of our business to move the needle.
John Healy: Okay, thank you.
Operator: Thank you. Our next question will come from Elizabeth Suzuki with Bank of America.
Elizabeth Suzuki: Good morning. In the three months ended in August there is an almost 30% increase in the crushed auto body pricing according to American Recycler. It looks like September the pricing was up almost 50% year-over-year which seems like it bodes well for the first quarter. Do you think it’s fair to say that salvage value should keep trending upward?
Jeffrey Liaw: Elizabeth this is Jeff. On this one dimension alone it's certainly the case, the scrap values have improved year-over-year. I think it’s worth noting a couple of things. One, scrap value most acutely affects our lowest end cars. So a car that's likely to be rebuilt likely to be returned to service for some number of years export or otherwise is affected much less by scrap. So it’s the lowest end vehicles that are affected not literally, not necessarily the high end cars, part one. Part two is, there are other contributing forces so the strength of the U.S. dollar being an important consideration given the number of cars we export out of the U.S. The dollar has clearly strengthened against a lot of our reference currencies, a lot of our export currencies. So that’s an offsetting consideration. But yes, all else equal scrap improvement year-over-year would be helpful, yes.
Elizabeth Suzuki: Got you, okay. That's helpful. Second, a lot of people are looking at the federal automated vehicle’s policy as an endorsement by the federal government of autonomous check which they’re saying is going to significantly enhance vehicle safety. And what do you think is a realistic timeline of how quickly autonomous check could really be adopted to the point where it actually impacts the accident rate of the overall fleet and is it just too far down the line to be considered relevant?
Jeffrey Liaw: Elizabeth we've done a fair bit of homework on this questions you could imagine ourselves and when I look - I’d say we have seen historical analog in the sense that we’ve seen accidents rates decline for a very long period of time. So from the mid 1970s to 2011 accident rates declined very steadily as the last generation of accident avoidance technologies spread through the market. It took decades for it to do so which is also going to be true today. If the U.S. for example will see 15 million or 17 million of new car shipments in a given year, we have a car park of 250 million or 260 million cars. It is just decades but the math is fairly straightforward. It will take decades before all cars have these technologies. The second note is, over that same period of time from the 1970s to 1980s, to 2011 the salvage industry grew well because the decline in accidents was more than offset by the total loss frequency which is again a function of repair cost, vehicle age and so forth. So we’ve seen this movie before. I think a lot of that will be true going forward as well. A lot of the technologies that makes automobile safer also make them much more expensive to repair. You heard Will talk about computers and sensors and so forth. The typical car is much more complex today than it was 10 years ago. So the math is decades, I think it’s an open question as to precisely how many but I think it’s decades away.
Elizabeth Suzuki: Yes, it makes sense. All right thanks very much.
Operator: Thank you. Our next question will come from Ryan Brinkman with JPMorgan.
Ryan Brinkman: Hi, good morning. Thanks for taking my question. I know that you don’t give - traditionally, you don’t traditionally give very detailed guidance but you did speak to many of the revenue drivers continuing into next year. What will you say are some of the other big drivers of performance in fiscal '17 versus '16 that investors should keep in mind so for example the trend in yard and fleet costs are G&A or capital investments?
Jeffrey Liaw: Ryan, that's an understatement. I think we do not historically provide detailed guidance or general guidance but I think your enquiry is fair. The most important driver you did hear Will talk about which is the unit growth and therefore growth assumptions. I’d say just looking backwards say four to eight quarters, big divers are currency, scrap values, catastrophic events which can cause higher than normalized cost incurrence, G&A is largely predictable for us, we don’t provide forward guidance except to say that it will continue to increase on an absolute dollar basis given the increased size and complexity of our business. So there are no other discontinuities. I think the general trends should be similar. As for capital investment, I think you noted at the end of your question about capital investment, that won't per se affect the P&L that substantially as you know we have deployed meaningful capital and land assets. So if you went to some other measures of operating performance, returns on invested capital and so forth, our investments and our infrastructure could of course affect those numbers.
Ryan Brinkman: Okay, great thanks. And then just last question is on the international markets outside the U.K. I am just curious if your performance in any of these different regions has caused you to want to invest more so for example in India I don’t know if the experience there has caused you, do you want to keep investing or is it conversely possible to that your experience have having entered a market may not have been what you imagined the market maybe different and you could potentially look to be also exiting some opportunities too. Thanks.
Jayson Adair: Yes, I would say that all of our recent experiences have done nothing but make us feel more optimistic about these markets and the timing is somewhat uncertain but we will be proceeding with systems and resources and I anticipate real estate as well.
Ryan Brinkman: Great, thanks.
Operator: Thank you. Our next question will come from Ben Bienvenu with Stephens Incorporated.
Unidentified Analyst: Hi good morning. This is [Daniel Hamburger] [ph] on for Ben. So first, you talked about expanding the land acquisition plans. Can you talk about maybe trends you’re seeing in those markets? What makes you confident in building out that type of capacity?
William Franklin: Simply growth in volume. It's kind of funny, I used to be on the finance side and I was always arguing that you need to operate yards at 100% capacity. And for the six weeks during the time of the year where you have peak, you just operate it efficiently, that doesn’t work. On the off side, you have to have a certain amount of excess capacity and now as we enter an environment where we’re having CAT situations more frequently for whatever reason, it amplifies the need to have excess capacity in terms of land to adequately serve our insurance customers. And so because of that, we're - because of the increase of volume, because of the increase in cash and because of the growth in our market share, we find ourselves in a position where we really need to expand our network of facilities.
Jayson Adair: Daniel, let me quantify it a little bit for you. Copart from an inventory perspective, grew 20% in the quarter. We have over 400,000 cars on the ground. So if you do that math and you then calculate that you can only store about 100 cars per acre, and you sit back and you think about the fact that Copart added over 60,000 units to inventory year-over-year, you’ve got to add 600 acres of land to the company. And that's the kind of growth that we’ve been seeing in the last year and that's, as Will said, we anticipate that growth going forward. So we are - when we talk about our 20/20/20 program that was where we started six months ago. We will anticipate opening more than 20 locations at this point and expanding more than 20 locations at this point because of the growth in units and the corresponding growth and inventories because we have to store those vehicles.
Unidentified Analyst: All right. Thanks, very, very helpful. And I kind of on the same line about volumes. We’ve been hearing reports of a significant number of flood damaged vehicles out of Louisiana. How does that compare, I guess to maybe a Katrina or a Sandy or what are you guys hearing out of those markets?
Jayson Adair: Yes, that market - I went in with a team during that event. That market is about a quarter the size of Hurricane Katrina off the top of my head. So big event. We picked up a lot of cars, but still relatively small compared to a Katrina. In terms of a Hurricane Sandy, Sandy was less than Katrina, probably a third off the top of my head the size of Hurricane Sandy.
Unidentified Analyst: All right, great. Well congratulations on a good quarter.
Operator: Thank you. Our next question will come from Bret Jordan with Jefferies.
Bret Jordan: Hi, good morning. I guess thinking about acreage, and then maybe we could look at the acreage that the $173 million in CapEx last year. You said maybe 75% of that was land lease and development. And then maybe do you have a expectation for how much acreage you might add in '17?
Jayson Adair: I’ll tell you, it’s just extremely difficult to give you a response because of the uncertainty of acquiring this land. Not only is it difficult to locate, it’s extremely difficult to get it properly zoned. And the timing of that creates the uncertainty I’m talking about. In total if you look at the total schedule of properties that we're targeting, it's in the many hundreds of acres. And so over the course of probably two years, we’ll be expending a significant amount of capital to obtain those acres. And the math is right. I mean, if we talked about volume growth. If you've got three years of volume growth at 8%, you're at a 27% growth in overall market. And if you assume your markets 4 million cars, you’re well over 1 million cars, additional cars. And so it’s becoming a real issue. And that’s why we’re so extremely focused on it. We have a lot of resources focused on paying this land because without this land you can’t properly satisfy and service your insurance customers.
William Franklin: Hi, Brad just a little more color here. I think the reason you hear us reluctant to provide more specific forward-looking guidance on this is because real estate by its nature is so episodic and unpredictable. We were pursuing land in Southern California for 20 plus years until we found a yard that made sense for us at the location, the permitting and the value available to us. So the business is somewhat elastic. If you look at an aerial photo of our nearby yards in Southern California until we opened a new one, they were clearly fuller than other yards within Copart. We want to be disciplined about how we buy land. We expect to be aggressive about buying and developing land, but that’s also somewhat dependent on availability, permitting, timing and so forth. So it’s a big part of our forward-looking strategy. It’s just very hard to narrow it down to say next quarter. It’s precisely this many yards, it’s precisely this many millions of dollars.
Bret Jordan: Okay. And I think when you talked about the 14% U.S. unit growth or volume growth, you mentioned market share gain. And could you give us a feeling, maybe what contribution market share was to that 14% i.e. drilling down towards farmers?
Jayson Adair: Yes, a lot of the volume that we had in market share was a year ago in the farmers account. There’s some new business that’s come on in the most recent quarter. So you’ll be seeing that trend extending in the year. So as I think Will or Jeff is about to give you a number, I want to make sure you understand that, that number will increase as we go into the new year from additional market share gains.
William Franklin: Yes, it is a lot difficult to arrive at a specific number with that certainty. I mean if we look at the growth in the market, we assume it’s 8%. And that’s 20% of our business, 6.5% to 7% came from market growth. And so the balance came from either new business or CAT. And the CAT level is probably 2% of that.
Bret Jordan: Okay, great. And then one last sort of follow-up. You talked about what drives the salvage, the total rates. And you said MSO market share gains. Are MSO average checks higher than independent average checks? It was my understanding that insurance companies allocate direct repair programs based on low-cost repair and seem to be focusing towards MSOs. Is that incorrect?
William Franklin: I won't comment on that other than to say that industry research suggests that one of the drivers of the increase in the cost of repair these cars is the consolidation that’s occurring. So you’d have to imply that by that statement.
Bret Jordan : Okay, all right. Thank you.
Operator: [Operator Instructions] Our next question will come from Bill Armstrong with CL King & Associates.
Bill Armstrong: Good morning, gentlemen. So it looks like your average revenue per vehicle is directionally increasing. You talked about scrap prices at the low end of your vehicle. So what other drivers might there be driving higher revenue per vehicle?
William Franklin: Every country has its own profile of car that we sell. Every insurance company has its own profile of cars that they provide to us. Some insurance salvage at a higher damage rate, some at a lower damage rate. Overall trends in used car pricing, FX, scrap metal pricing; things like proximity to port have an impact on the selling price of the vehicle. I mean, there’s a lot of inputs and drivers in this ASP movement.
Bill Armstrong: Got it. And on the foreign exchange front, you only have over the last couple of years, I guess, with the stronger dollar, that has sort of suppressed bidding from international buyers. And now with the dollar kind of leveling off a little bit, are you seeing those buyers coming back or getting more aggressive in their bidding?
William Franklin: We have. We’ve seen just a marginal increase in international activity, but nothing near where it was two years ago.
Bill Armstrong: Okay. But it sounds like the deterioration of that is sort of, kind of reached an end there?
William Franklin: That’s fair.
Jayson Adair: It is actually up, as Will said.
William Franklin: Okay, great. Thank you.
Operator: Thank you. Our next question will come from Matthew Paige with Gabelli and Company.
Matthew Paige: Hi, good morning. To follow-up on your age commentary before with lower new car sales in the 2009 to 2011 time frame, do you see any potential impact or air pockets as these units move into the latter stages of their lifecycle?
Jeffrey Liaw: What do you mean by air pockets, Matthew?
Matthew Paige: It is just as - you have some higher sales going into 2008 and then you have lower sales coming out of the recession and before they start to recover in 2012. So you have a couple of years there where the lower sales are starting to get into their prime age for salvage parts or to be totaled.
Jayson Adair: Clearly, it has caused the average age of vehicles to move up, as Jeff stated earlier. In terms of bucket of cars that are missing in that particular year, I think if you - if we can just take an extreme, if we didn’t sell any cars one year and the next year we sold twice as many cars, I think it would just move the average down. I don’t think it would be indicative of some kind of air pocket or other impact. So, it definitely had an impact in the average age of the vehicles. And as Jeff stated, that is starting to reverse now as we’re seeing 17 million new car sales a year.
Matthew Paige: Okay, great, thanks. And then second question for me is could you remind us the penetration of transportation and storage fees and sales you make on the unit sold at auction?
William Franklin: I’m sorry.
Jayson Adair: I didn’t understand.
William Franklin: What was the question?
Matthew Paige: Of the units you sell at auction, what is the penetration of them that you can take ancillary revenue from transport and storage fees?
Jeffrey Liaw: Thanks for the question, Matt. I think you are asking about attachment rates for other ancillary services that Copart provides. Its buyers or sellers and we don’t customarily comment on those kinds of things.
Matthew Paige: Okay, well thank you and good luck.
Operator: Thank you. Speakers, at this time, I’m showing there are no further questions in the queue. I’d like to turn it back over to you for closing remarks.
Jayson Adair: Thanks, Samantha. Again, thank you, everyone, for attending the fourth quarter call. We will be reporting on the first quarter in the New Year fiscal 2017 on the next call. We look forward to chatting with everyone then. Thanks so much. Bye.
Operator: Thank you, ladies and gentlemen. Thank you for your participation. This does conclude today's conference. Have a great rest of your day.